Operator: Good morning and welcome to the Earthstone Energy's Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference call is being recorded. Joining us today from Earthstone are Frank Lodzinski, Chief Executive Officer; Robert Anderson, President; Mark Lumpkin, Executive Vice President and Chief Financial Officer and then Scott Thelander, Vice President of Finance. Mr. Thelander, you may begin.
Scott Thelander: Thank you and welcome to our fourth quarter conference call. Before we get started, I would like to remind you that, today's call will contain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended in Section 21E of the Securities Exchange Act of 1934 as amended. Although management believes these statements are based on reasonable expectations, they can give no assurance that they will prove to be correct. These statements are subject to certain risks uncertainties and assumptions as described in the earnings announcement we released yesterday, and in our annual report on Form 10-K for 2019. These documents can be found in the investor section of our website www.earthstoneenergy.com. Should one or more of these risks materialize or should underlying assumptions prove incorrect, actual results may vary materially. This conference call also includes references to certain non-GAAP financial measures. Reconciliations of these non-GAAP financial measures to the most directly comparable measure under GAAP are contained in our earnings announcement released yesterday. Also, please note, information recorded on this call speaks only as of today, March 12, 2020 thus anytime sensitive information may no longer be accurate at the time of any replay. A replay of today's call will be available via webcast by going to the investor section of Earthstone's website and also by telephone replay. You can find information about how to access those on our earnings announcement released yesterday. Today's call begin with comments from Frank Lodzinski and Robert Anderson, followed by remarks from Mark Lumpkin regarding financial matters and performance, and then a discussion of our current environment and upcoming operations from Robert Anderson. I'll now turn the call over to Frank.
Frank Lodzinski: Thanks, Scott, and thanks to everybody for joining everybody with joining on this call. Listen before I address the recent and sharp declines in commodity prices and our 2019 performance and outlook for 2020, I want to address the management changes that will take effect at the end of this month. As previously announced, Robert Anderson will take over as a CEO and I will remain with Earthstone as Executive Chairman. Our board and officers and staff could not have more confidence in Robert's ability to leave Earthstone going forward. As many of you recognize, he is a dedicated and capable executive who has proven that he can lead our company and has a skill set that spans multiple disciplines including technical and financial. He's really been instrumental along with our other our outstanding staff in methodically building Earthstone despite poor market conditions and the one we're in right now to keep us in the enviable position that we are. Many of our staffs have been through this drill, Robert's done through this drill, and we're going to do well during this downturn. It's important to emphasize that Robert and many of our team have been with me through a number of these collapses. Most particularly thinking 2008, 2009 and 2016, we're a very healthy company, as we have been since 1986 when I first got started. We will be a survivor and we will be a consolidator. We continue to run our business not only to survive in times of turbulence, but to thrive and create value for our shareholders over the long term. We focus every day on effectively dealing with the significant volatility that is constantly present in our industry, while pursuing long term profitable growth. And we will not abandon our fundamental and demonstrated strength of maintaining a strong balance sheet, cost control and operational efficiency. Robert will briefly mentioned that we've made great progress in the last three years since a similar downturn in 2016, and we'll continue to build scale organically or through value-enhancing mergers. We're simply not going to end up like many of our competitors, unfortunately within adequate inventory, high costs and too much leverage. I want to stress that we have the complete support of our board and major equity sponsor, and we'll work diligently on the M&A front, but we are not going to simply bailout any other entity and sacrifice our balance sheet for scale. Before I turn the call over the Robert, I want to wrap up with a couple of other points, and that being our alignment, our management and staff alignment with our shareholders. We've always structured our compensation packages to be at or below the midpoint and to make our money through equity incentives. In the last couple of years, we modified our equity incentives to be performance-oriented based on relative values with our peers. For 2020, we further enhanced our alignment with shareholders by having approximately 75% of our management equity awards best in three years based on absolute stock price increases, which requires an average return of about 15% over a base of $6 per share, in order for us to realize target levels. In other words, aside from the significant reputational motivation that we have, we are also clearly incentivized to increase our stock price. The more money we make for you all, the more money we make for ourselves. With that, I'll turn the call over to Robert.
Robert Anderson: Thanks, Frank, and thank you of you on the phone and listening on the internet with us today for attending. I also thank the board and our executive team and management team and staff and employees for this opportunity. I guess I will get baptized by fire in the current environment, but we've been through this before and as we go through the rest of this discussion this morning, we'll tell you how we're going to continue to create value going forward. I intend to build on the strong foundation we have created and also to maintain the high standards that drove our progress and success of prior companies. Those standards and the fundamental strengths you mentioned are embedded in our company culture here at Earthstone, and I believe that our strong performance in 2019 is a direct result of our clear focus on shareholder alignment and performance. Earthstone is well-positioned for a solid future and I'm excited to be taking over the CEO role here to make that happen and continue building value for all our stakeholders. With that said, I want to take a few moments to provide an overview of where have we have been and where we're going. I'll let Mark cover our fourth quarter and 2019 annual results, but I want to point out a few summary statistics that highlights our progress. Over the past three year period ended in 2019, we've increased our adjusted EBITDAX by 680%, we've increased our production by 235% we've lowered our direct LOE per BOE, excluding taxes by 47% and lastly, we've lowered our cash G&A per BOE by 40%. We accomplish this during a pretty volatile market, maybe not quite as bad as today, while maintaining low leverage and we ended 2019 with a net debt to adjusted EBITDAX ratio of less than 1.1. So, pretty fantastic company over the last three years. Further as in our prior successful public entities, we built an organization from the field to the boardroom that can effectively deal with major downturns, But continue this progression and handle a great deal of added activity with only moderate incremental costs. We intend to do even better in the future. Our clear intent is to be a consolidator. But as Frank mentioned, we're not going to abandon our fundamental practices and over leverage our balance sheet. Our conservative approach to the use of debt, along with strong hedge position and quality asset base positions us with flexibility to adjust our plans to respond to the current environment without seeing acceleration of leverage, and we can actually delever considerably, if we curtail our capital spending plan. From a guidance standpoint, in January, we set out our 2020 count budget range of 160 to 170 million. Based on that plan, the midpoint of our production guidance is 16,000 BOE a day comprised of 64% oil, 83% liquid. This implied expected production growth of 20% on 20% lower CapEx compared to 2019, while inflecting to free cash flow in the second half of 2020, assuming existing service costs and a $50 WTI oil price. Obviously, the commodity price environment has drastically changed, not only since we put out that guidance in January, but just in the last five days. We are re-evaluating our plans for 2020, and we are going to curtail material activity in the next couple of months absent a significant improvement in oil prices. From a practical standpoint, we have no long-term service contracts. We have no minimum volume commitments, and our land team just informed me, they have negotiated extensions on all our 2020 drilling obligations, and therefore we can wind down our capital spending pretty quickly. So, we will update our 2020 guidance in the near-term and communicate all that accordingly, but we are going to cut our capital materially. I will now turn the call over to Mark and let him discuss our balance sheet and financial results, and I'll come back and give you a brief operations update.
Mark Lumpkin: Thank you, Robert. Well, let's start today actually with a recap of our balance sheet and liquidity just given the focus on that in the current environment. So, as previously discussed, we did enter into a new credit agreement with respect our seniors approved revolving credit facility in the fourth quarter of last year, which extended the maturity date by a little over 2.5 years to November of 2020. The initial borrowing base on that facility of $325 million is the same as in our prior facilities. As of December 31, 2019, we had a 170 million of borrowings outstanding under the credit facility, which resulted in the remaining 155 million of undrawn borrowing capacity. Additionally, we had a cash balance of approximately 14 million, resulting in full liquidity of $169 million. Obviously, in the current environment, liquidity is the focal point, and we're absolutely focused on that as well. While we would expect our lending banks to reduce their assume price decks, which likely will result in borrowing base going down across the industry, it's really a little too early to get granular, as they kind of figure out what that looks like and we figure out what it looks like, but our expectation is that our practice of not taking funding on the credit facility to extremely high utilizations will give us ample headroom for any scenario. I would also like to add that we as you could imagine, have been running a bunch of different scenarios in the past few days around capital programs and assume commodity prices. And I'll just say that from all of our analysis, we don't come anywhere close to any financial covenant, irrespective of what scenarios we run from a capital or pricing standpoint even assuming flat oil at $35 in perpetuity. Well, in the context of the continued volatility in commodity prices and in particular given the recent dour moves in oil, it's important to consider the impact for our hedge strategy. We've continued benefit from a strong hedge book with realized gains in the fourth quarter of $2.2 million, bringing realized commodity gains for the full year of 2019 to approximately $16 million. In 2020, we have about 78% of the midpoint of our previously released production guidance of 8,000 barrels a day swap at a WTI price of just over $60 per barrel and we've got a decent bit of oil hedges in 2021 as well. Similarly though not as impactful, we also have attractive natural gas hedges for 2020 at a net price of a $79 per Mcf after the WAHA differential on about 43% of the midpoint of our previously issued GAAP production guidance. These hedge quantities and price level levels and particularly on the oil side significantly insulate us from the downside prices we experienced in 2020 and to a decent degree in 2021 as well. Based on prices as of March 9th, the mark-to-market on our hedge book is estimated to be approximately $80 million. I would also highlight for you that 100% of our hedge program is via swaps, so we don't have any of the downside exposure associated with other hedging strategies such as three way callers or put spreads. Okay. Now looking at our fourth quarter financial metrics and starting with the top-line, revenues for the fourth quarter were $66.8 million with oil contributing about 90% of the revenues. From a production standpoint due to the execution efficiency and reduce cycle times, our fourth quarter sales lines exceed our expectation by a decent bit and average 17,571 barrels of oil equivalent per day and we're comprised of approximately 66% oil, 15% natural gas and 20% natural gas liquids. For the year, this put us at an average of 13,429 barrels of oil equivalent per day, which was approximately 10% above the top end of our 2019 guidance range. In terms of commodity prices for the fourth quarter, our realized prices were $56.92 per barrel, realized natural gas prices were $1.24 per MCF and natural gas liquids price were $14.92 per barrel. Fourth quarter realized prices increased on a quarter-over-quarter basis for all three products with realized natural gas and natural gas liquids prices having significantly increased by 71% and 29% respectively. From an income standpoint, we reported GAAP net loss in the fourth quarter of $5.6 million or a loss of $0.9 per share, which reflected the impact of unrealized loss on our derivative contracts of $26.5 million. We recorded adjusted net income, a non-GAAP measure of $18.2 million or $0.28 per adjusted diluted share for the fourth quarter. Please share earnings release for explanations and reconciliations of non-GAAP measures. We recorded a company record adjusted EBITDAX of $49.9 million in the fourth quarter, which was a 67% sequential increase from the third quarter. For the full year adjusted EBITDAX grew 51% to a company record of $146.3 million. On the cash cost side, we achieved our targeted sub $10 per barrel of oil equivalent, combined lease operating expense and cash G&A expense in 2019 coming in at $9.72 per barrel of oil equivalent, and we guided towards the midpoint of $9.25 per BOE per 2020 in our January guidance release. Our capital expenditures for the fourth quarter totaled $58 million, resulting in full year capital expenditures of approximately $210 million or about 3% above our guidance. As Robert mentioned, we are and will continue to evaluate adjustments to our capital plan. As it relates to the fourth quarter and really even prior to any potential changes to our capital plan, we expect the first quarter to be our largest spend for the year and this is really driven by running a frack spread for the most of the quarter, beginning in mid-February and by the completion activity on the 15 well non-op project that largely occurred in the first quarter. From a production standpoint, we expect 2020 to be much smoother than what occurred in 2019, with the back end of loaded completions we have been. Broadly speaking, we expect the first quarter production to be down a decent bit versus the fourth quarter of 2019, given the flush production we experienced in, which peaked around the middle of the fourth quarter. And then beyond that, we expect the second quarter to be relatively flat compared to the first quarter. And really the balance of the year is, of course dependent on what we ultimately do on the capital side, our prior plan had some sequential growth expected over the course of the year, but with the expectation of curtailing capital that obviously changes the slope of the production curve. So, with that, I'll turn it over Robert.
Robert Anderson: Thanks Mark. Okay, let me start by saying our technical and operations team did a terrific job last year with great performance. We had some great strides in the efficiency of our drilling and completions in 2019, which when combined with generally reduced service costs allowed us to significantly drive down drilling and completion costs from over $1,000 per lateral foot to approximately $850 per lateral foot from 2018 to 2019. This resulted in reduced cycle times and as Mark pointed out, we got more wells online a lot sooner. And all of this contributed to the Company record production and EBITDAX levels and achieving our targeted sub $10 per BOE cash G&A and LOE costs. In terms of proved reserves, the successful drilling program has resulted in a 33% increase in proved developed reserves on a year-over-year basis. This 2019 operational performance has positioned us with some meaningful momentum heading into this year. In 2020, our drilling and completion program is solely focused on our Permian Basin acreage. We just finished drilling on a 5 well project in Upton County on our Hammond 30 unit and we are keeping the rig in Upton County drilling a 6 well pad on our Ratliff project, which will take us into May, during which we plan to re-evaluate our drilling program based on current prices and expected reduced capital costs. In February, as Mark mentioned, we picked up the frack spreads to complete three wells on our WTG projects in Reagan County, that were drilled back in 2019. With these wells coming online in the second quarter, upon completing these wells, we will consider delaying our future completion activity based again on near-term forecasts for prices and the potential for reductions in costs. We continue to focus on wellhead economics. With this in mind and given current oil prices, we would only drill in our highest return areas in Midland and Upton counties focusing on the Wolf Camp A, B as well as the Lower Spraberry up in Midland County. In 2019, we ended up with average operating lateral lengths of over 10,000 feet, which really helped drive some cost efficiencies. We continue to work on trades and acquisitions to increase lateral lengths in areas with shorter laterals to maintain or increase this efficiency in those areas. As we've discussed with you in the past, the majority of our acreage position has not been densely drilled. In most of our projects, we are just now coming back to areas that were previously drilled. As such, we view each area individually and determine spacing as appropriate. So, we've reduced some of the locations that we have from our prior year based on updated spacing assumptions. Generally, Reagan County is spaced at about 1,100 feet between wells and the same target, whereas Upton and Midland counties average about 900 feet between wells and the same target. A lot of factors go into this determination including rock quality, reservoir pressure and existing producers. So in summary, during this volatile time, you can rest assured that our practice will continue to first and foremost protect the balance sheet. We will also pursue value-enhancing acquisition opportunities with our normal financial discipline. Our acreage and inventory provide drilling locations with attractive economics for many years to come. However, we will be cautious and utilizing capital in the near-term. We expect to continue to demonstrate our ability to generate peer-leading margins and during this recent drop in oil price, look for opportunities to build value. With that, operator, we will now turn it over for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question is come from the line of Dun McIntosh of Johnson Rice. Please proceed with your questions.
Austin Aucoin: Hi, good morning guys. This is actually Austin filling in for Dun. I just want to say congrats on a great fourth quarter. And my first question is, if you can provide any additional color around the 2020 outlook yet?
Frank Lodzinski: Well, it's a couple of weeks definitely with no long-term commitments. We can ratchet down a activity. However, being in the middle of operations, it's a little hard to shut down a frack or shut down a drilling crew in the middle of a pad. So, give us a few weeks and we'll come back to the market with some updated guidance, both on the production for the year as well as the capital program.
Mark Lumpkin: It's fair to say that, some significant change in oil prices and the next few weeks. We're going to pretty significantly cut activity.
Austin Aucoin: It makes sense. And then, I guess, do you have any idea what the 2020 corporate decline rate would be?
Robert Anderson: Yes, our PDP wells, given a whole bunch of new wells that came on at the end of the year, is in the 30-ish percent range, 32% to 34%, something like that, and that's what those PDP wells look like year-over-year. We continue to add wells to kind of balance out that. But again, as we look to figure out our capital plan exactly for the year, we'll come back with some adjusted production numbers.
Frank Lodzinski: Hey, Dun. This is Frank Lodzinski. Some of your associates over there, your colleagues that you know, teasing you a little bit. My usual responses, give me a price deck and I'll tell you exactly what we're going to do. And that's what we're struggling through. I will say that, a bunch of our folks, Robert's been with us a long time as well as a bunch of our folks. We can gear down fairly quickly and we can gear up fairly quickly. If you take a look at 'IFRS 16, we phased them. As I recall, we had a couple of rigs running and a frack crew. We've phased out a rig, we cut our frack, and we ended up probably with 13 or 14 DUCs at the end of the year, and we were able to reach it up pretty quickly going forward, and that's the elements of the plan that we've had for ever. So, a little bit more color for you there.
Austin Aucoin: And then as a follow-up, I was wondering, you said, you did 2019 a little under 1.1 times leverage ratio. I was wondering if you -- how do you all expect to change that? How you expected to change over 2020? I assume most activity, but the commodity price?
Mark Lumpkin: Yes. I mean, honestly, because the hedge position, doesn't it matter, yes, but it's just not a huge impact. And certainly, you're assuming some pretty significant curtailment of activity, we kind of the math right now is we're got hedges on 78% of oil production based on the midpoint guidance. If we cut activity pretty significantly, yes, the guidance is going down. So, we probably got, it's a higher percentage has been 78. So, while it's not what -- what matters some it just isn't a big impact for us because all we got to fix price swaps on so much of the oil production that we actually delever. If we see -- saw activity, we’re going to delever.
Frank Lodzinski: I think the ratio ain't going up.
Austin Aucoin: And then, I guess my final question is, we'll see in the next 12 to 18 months. Do you see any M&A activity with your strong balance sheet in this I guess the price collapse?
Robert Anderson: Well, we're actually excited about the opportunities that are out there, and we will be able to probably grow easier in times like this, given our balance sheet and our track record and things we've done in the past than when oil is $100. So, I don’t wish bad luck on anybody, but we're going to continue to be diligent and looking at opportunities, and I think there's going to be a lot opportunities over the next 12 months.
Operator: Our next question comes from the line of Neal Dingmann of SunTrust. Please proceed with your questions.
Neal Dingmann: Robert, one just one question more just to kind of a two part, that's all I've got is, just on the non-op. I'm just wondering, number one, what kind of color do you all usually get on that as far as how much advance on that you could talk about? Just you talked a little bit in the release, so how much activity and then sort of my second question also related to that is, the scenarios either because financially or operationally, you would think about going non-consent there?
Robert Anderson: We've had discussions with a couple of our parties that have thought about having some activity this year. We've got this 15 well project completed and online, and so that is behind us, and everything else going forward from a non-op position perspective is on hold. So, we have nothing staring us in the face but anything material. I think does that answer both parts?
Robert Anderson: Yes. And really no, I would just add, we weren't expecting a whole lot of activity on the non-op side before, but even what activity we were expecting and nobody is excited about drilling right now. And there's nothing in progress either.
Neal Dingmann: And one more if I could just on -- Rob, can you just talk about you mark? I know you definitely were talking about it, I know you'll make a more detailed decision down the road depending on what these prices do, but the one versus zero rig sort of operated scenario. It sounds to me like you're pretty confident, you could generate some pretty cash on either maybe just talk a little bit done, the converse you had on both of those and number one, if that's the case, and number two in 2021 is in overall growth is still trying to be the trend would still be positive? Thank you.
Robert Anderson: Yes, I mean, there's a lot of modeling in your question there. So, some of it is a philosophical thing and the efficiencies we've gained over the last year to 18 months, makes it somewhat difficult to want to let our rig go, because our team is just, we're on fire and doing really well. But at the same time, we've got to be cognizant of where these prices are. None of this has any impact on our financial wherewithal. I mean, our balance sheet is in such great shape. If we don't continue to run a rig, with the free cash flow, we pay down debt and then we'll have some inventory to start next year or whenever the prices improve to frack wells and quickly jump back onto the production growth train as it makes sense. But it's all going to be under the idea of profitable growth with a view of future prices.
Operator: Next question is coming from the line of Noel Parks of Coker & Palmer. Please proceed with your questions.
Noel Parks: Sort of along the same lines, I'm just wondering, sort of feel like world has changed. We with the Saudi Arabia and Russia standoff on the production cuts, and in this really strange week, I was wondering. Are you healing from service companies, checking in to see just in case you want to do something later in the year or have they been having back seeing all this volatility? I'm just thinking about as you look at the trade off, certainly stability is running and keeping a red efficiency versus capital. I'm wondering that there's even more giveback on the service side that could move the needle on your decision your way?
Robert Anderson: Well, there's definitely some service guys who are nervous. Those with strong balance sheets probably are less nervous and they can weather this storm much like the guys. Our guys, we're communicating with them every day because they do want to know what the plan is. They recognize in low prices that we will probably cut back activity, and when we see a clear view of where prices are headed, we may jump back to activity faster than others, because of our balance sheet. So I expect that they may come, hand-in-hand saying, hey, we'll reduce prices or costs if you guys will keep activity going, but there's a balance between all that. So, we're communicating with them every day. It's a team sport, and we need them to stay in business to be able to grow and be efficient. So, we pick the best players to go on the team, and at some point, we'll take a breather if we need to know.
Mark Lumpkin: No, it's Mark again here. I want to add a couple things to that. I mean, one thing you guys who have known Frank for a long time and falls in, whether it's an Earthstone entities know, is that, we're not kind of a group that panics and we came in Monday morning, knowing the world is rapidly changing and not knowing exactly what all the answers are, and we still have like exactly what all the answers are. What we do know is that, we've got the balance sheet and the liquidity and the cost structure and the hedges to weather the storm. Honestly, I came in Monday morning, we ran some downside scenarios and I thought they would look good and they looking better than I thought. There's a lot changing weather service costs or the dynamics when OPEC and Russia or the demand shock on the coronavirus piece. All those things are still unknown and very new, what we're not going to do is have a knee jerk reaction and overreact when what changes over the next few weeks, we don't know, next few months, we don't know. But things could change and we're going to do the prudent thing because we want to drill economic wells and we're going to do all those things and assess those changes, both in real time and as we go along, which isn't to say that I encourage you to see the industry go make the changes that, that a lot of folks have announced and even as we talked to private people have talked about cutting CapEx. It's encouraging to see that and we're going to cut to if oil sticks where it is but we're going to be measured about how we do it and we're not back in the corner where somebody else was making the decision for us.
Noel Parks: And did you say that you would put something about the Company's current CapEx?
Mark Lumpkin: I would just say just anecdotally, its public guys and private guys are all having the same conversation in their offices and making decisions about what you're doing right now, given the quick changes we've seen.
Noel Parks: And I'm just wondering, if I'm thinking about some sort of out and out acquisition. I'm thinking about farm-in and usually, I think of those as people looking to letting an outside party to drill to earn interest. Is it conceivable that anyone who was sort of let you complete DUCs for them in return for ownership interest? And just thinking that you're having 5, 10, 15 million to spare on your credit line could be pretty meaningful to some other parties in next few months, just depending on what their situation might be?
Frank Lodzinski: I don't know where you're getting this 5, 10 or 15 million on our credit line. Our liquidities are lot more than that. But the answer to that, Noel, this is Frank. The answer is that without sounding cocky here, we we've always had our plans in our pockets. You just never know how rapidly the industry and the commodity prices are going to deteriorate like they did here. If you want to take a look at how we reacted, probably reviewing our quarterly activity and in 2016 is a good gauge and we will phase down as we need and with our operations staff that has been with us forever, we'll gear up now. Your question was is there opportunities to drill to earn acreage to completions, things along those lines. I'll tell you after 47 years and 35 being an independent there, I anticipate there will be opportunities to that. But I think everybody that's holding those opportunities right now is shell shocked. And they're just not going to do anything to try to get their act under control. Some cases, it's probably going to take them longer than we do. And I do think there's going to be opportunities. So, one thing that's been in the back of my mind is essentially taking over meaningful acreage positions with a drill to earn. But as I said earlier, we're not going to sacrifice our balance sheet. In other words, we're not going to go draw on our lines of credit for our non-cash flowing assets. Drilling to earn or things like that might be something we will consider, but I think everybody's in shell shock right at the moment and I think we'll see opportunities, but it's going to take some time to sort it up.
Noel Parks: And just to drill down a little bit more. In your current operating area, as far as the folks offsetting you, is there anybody who’s got significant drill or hold HBP issues these days or mostly -- on that?
Mark Lumpkin: I'd say, most folks are under HBP status for the most part other than continuous development a clauses that are in some of those leases. So, there could be some activity that has to occur because of those continuous drilling clauses. But operators, mineral owners and leaseholders are quite paying attention here to what oil prices are, and they probably don't want a hold lot of activity, new wells coming online at $30 oil also. And so, like I said in my prepared comments, we've got a couple of obligation areas that this week we got negotiations done, and we're pleased that we can extend those into 2021.
Operator: Our next question is coming from the line of Gail Nicholson of Stephens. Proceed with your questions.
Gail Nicholson: Good morning. Thank you for fitting me in. In regards to expenses, you guys had a really good job driving down expenses in '19, and when you look at 2020 as you see that there's potential room for further improvement perfectly on the LOE side, which you posted a really good BOE, right in the fourth quarter of '19.
Frank Lodzinski: Well, oil prices did dropped 20 bucks or so, maybe more. So, those same concessions from companies, whether it's a drilling contractor or a chemical supplier, those guys see what's going on and this will create some opportunities I think for costs to come down a little further and we work on it every day and now we're going to be even hyper-focused on our margins given that, Hey, we made as much new activity, but we got a bunch of wells out there and we've got to figure out how to operate them even cheaper given where oil prices are.
Mark Lumpkin: And Gail, the fourth quarter, we obviously had the first production. So, a big denominator there on the cost per BOE, we obviously will have that in the balance of this year, but from a kind of to Robert's point, a service provider performing X activity, we think there's some potential downward pressure there.
Gail Nicholson: Great. And then just like, from a standpoint of hedging, you guys have always had a phenomenal hedge program. This is a different environment and things will change. But how are you just thinking about hedges as you progressive this year in regards to '21?
Robert Anderson: Yes. We're thinking about it. If we knew that this was going to happen, we probably should have hedged everything we could have. We didn't see this black swan event or whatever you want to call it, but we continue to be diligent and look at options that we have for putting more hedges on or considering hedges as we go forward.
Operator: Our next question comes from the line of Andrew Bond of Alliance Global Partners. Please proceed with your questions.
Andrew Bond: Good morning. This is Andrew Bond calling him to the line of Bhakti Pavani. My first question is what kind of CapEx levels should we be thinking about, if you would want to maintain production at around like 12,500 BOE per day?
Mark Lumpkin: We're just not ready to come out with that. I mean, we're still running scenarios in real time. Yes, we've got some idea. I think our focal point is on making the right decisions in terms of activity as it relates to well hedge economics, but also as it relates to just the disruption of shutting down and starting back up, give us a month or so and we'll give you more clarity there.
Andrew Bond: And then, my second question with the COVID-19 situation now being called a pandemic, how are you as a company preparing for this and do you see this impacting your operations in any way?
Mark Lumpkin: We work pretty remotely or have the ability to work pretty remotely as it is and we actually had have had discussions over the last couple days of, who is absolutely necessary to come into the office. And probably the person who has to print out a check to pay a vendor is probably the only person who has to be here and everybody else can work remotely. So, our operations teams are all in the field, obviously, that's remote, they don't need to worry about being in big groups. And unfortunately, we have a group of us in the room here today, but we're all going to go self quarantine for the weekend after this past week.
Operator: [Operator instructions] The next question comes from the line of Peter Ernst. Please proceed with your question.
Unidentified Analyst: A quick question on clarity regarding Hamman 30 that came up late last year. I know you drilled vertically and then we're planning I think and then the last guidance was you complete the horizontal parts that well again in Q2. I thought I heard earlier in the call that those were those horizontal segments were completed already? I just wanted to ask clarity, I missed that part.
Robert Anderson: Sure. It's quite easy. So, we had drilled the Ratliff wells to the intermediate section and then because there is some surprise, offsetting frack activity, we took the safe route and went and drilled our Hammam 30 wells and now we're back on that Ratliff. So, there's all 530 wells are drilled, waiting on completion and again, that's under review of that timing. And then Ratliff wells. We're back over there with the rig right now, we'll finish drilling those six wells out and then we'll figure out both timing of completion and what to do with the rig.
Unidentified Analyst: So the timing completion for both Ratliff and Hamman are subject to the capital decision you guys are in the process of making now.
Robert Anderson: That's right.
Operator: We have reached the end of the question-and-answer session. I will now turn the call back over to management for any closing remarks.
Frank Lodzinski: Thanks to everybody for listening and asking questions and we'll be updating you all here shortly with capital and everything like that, and we appreciate your interest in the Company. Have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a great day.